Operator: I would like to welcome everyone to Sleep Country’s Q3 2023 results conference call.  Yesterday, Sleep Country released its financial results for the third quarter of 2023. A copy of the earnings disclosure is available on their Investor Relations website and includes cautionary language about forward-looking statements, risks and uncertainties which also apply to the discussion during today’s conference call. I would now like to turn the call over to Stewart Schaefer, President and CEO. Please go ahead.
Stewart Schaefer: Good morning and thank you everyone. Thank you for joining us for our Q3 earnings call. With me today is Greg De Pratto, our Chief Financial Officer. Overall, I am pleased with our performance this quarter as we continue to navigate through this volatile macro environment, delivering our second highest Q3 revenues in the company’s 29-year history. Our Q3 revenues grew by 1.9% as we integrate our strategic acquisitions and see our channels coming together to grow our market share and expand on our channel distribution. Q3 saw once again pressure in our mattresses sub-$750 price band, while our mid to high end remained flat. The slowdown in the Canadian real estate transactions caused by the impact of higher interest rates plus the impact of inflation saw certain customer segmentations defer their purchases on larger ticketed items and spend cautiously in this challenging environment. When looking at revenues across all our channels, we continue to see the greatest weakness coming from our price sensitive ecommerce channels. Revenues from our brick and mortar stores stayed strong in the third quarter, reinforcing the importance of the in-store experience and the importance of our diversified omnichannel positioning. Our teams have worked diligently over the last couple of quarters to get us to the point of launching three new brick and mortar brands. The first two are our highly recognized direct-to-consumer brands, Endy and Silk & Snow, that are going to introduce their brands into a tactile environment with an expanded collection of sleep products, while also bringing to life a new customer experience by allowing our D2C customers the opportunity to discover, trial and purchase quality sleep products with the help of our trusted sleep experts. Earlier this week, we celebrated the opening of our first Endy store at Sherway Gardens in Toronto, and later this month we’ll be opening our first-ever store-within-a-store featuring Silk & Snow within our newest Sleep Country location in Ottawa. This will be the first of many to come that will showcase these two powerful brands. All our teams are very excited to see these leading digital brands come to life in two beautiful and inspiring environments. I’m also thrilled to share that we will be launching our exclusive new luxury sleep banner called The Rest with the opening of our very first store in Yorkdale Mall in Toronto this month. The Rest will redefine luxurious sleep and offer a uniquely elevated experience, bringing customers the world’s most exquisite collection of bespoke mattresses and the very finest in premium bedding. As leaders and innovators in the sleep space, we can’t wait to showcase this highly curated luxury offering to Canadians for the very first time. We truly couldn’t be happier with our newest acquisitions and the results they are delivering. Silk & Snow continues to outperform our expectations, and this quarter they received recognition for the third consecutive year as one of the top 50 fastest growing businesses in the Globe and Mail’s 2023 Report on Business.  We’ve also been making tremendous progress with Casper Canada. Over the last five months, our teams have invested significant energy in redefining the future of this business, from planning the expansion of Casper Canada’s store footprint to designing a new collection of mattresses tailored explicitly for the Canadian consumer’s needs in mind. Half of this collection has already begun to roll out, with the other models hitting the floors in the first half of next year. Looking ahead, as we continue to execute on our strategic growth initiatives, we remain cautiously optimistic on our medium term outlook but are very bullish on our strategic long term positioning as we focus on strengthening our sleep ecosystem while investing in growth of all our brands to continue to deliver the best-in-class sleep options to our growing customer base.  Finally, I want to extend my deep and sincere thanks to our incredible dedicated, driven and talented teams who proudly represent all of our amazing brands and who have worked tirelessly to help make us Canada’s most trusted sleep partner.  With that, I will now turn it over to Craig to discuss the financial results.
Craig De Pratto: Thank you Stewart, and good morning everyone. This quarter, we saw an increase in revenues by $4.7 million or 1.9%, from $251 million in Q3 2022 to $255.7 million in Q3 2023. This increase was mainly driven by incremental revenue earned from new stores opened in 2023, wrap stores opened in 2022, and the incremental revenue earned from our acquisitions of Silk & Snow in January of 2023 and Casper Canada in April 2023. This increase was partially offset by a decrease in our same store sales by 5.5%. Our Q3 revenues from our ecommerce platforms increased 190 basis points from 18.5% in Q3 2022 to 20.4% in Q3 of 2023. Taking a step back and looking at our total revenues, over the last four years from 2019 to 2023, we have achieved a strong CAGR of 4.9%.  Moving on, our gross profit margin increased $4.8 million from $96.6 million in Q3 2022 to $101.4 million in Q3 2023. Our gross profit margin increased by 120 basis points from 38.5% in Q3 2022 to 39.7% in Q3 2023, mainly due to higher average unit selling prices and lower product costs. These were partially offset by higher sales and distribution compensation costs and deleveraging tied to our store occupancy costs. Store occupancy costs were also impacted by our nine new stores opened in 2023, of which six were acquired under the Casper Canada acquisition. Our improved gross margin this quarter was negatively impacted by the deleveraging on our G&A expenses. Total G&A expenses increased by $10.9 million or 22% from $49.8 million in Q3 2022 to $60.7 million in Q3 2023. Of the $10.9 million increase in G&A expenses, $4.5 million of the increase was driven by advertising expenses and $4.3 million was due to an increase in compensation costs. Both of these increases were primarily tied to the incremental spend related to the acquisitions of Silk & Snow and Casper Canada. A reminder to the market that there is seasonality in our advertising expenses similar to our revenues. Our advertising spend is generally highest in Q3. Total G&A expenses were also impacted by an increase in information and technology costs tied to software and licensing and support, and lastly as a reminder, our D2C brands, Hush and Silk & Snow, which are earlier in their growth cycles, have a higher marketing and fixed cost as a percentage of total revenue and therefore cause a deleveraging impact at a consolidated level on our advertising spend and G&A. Taking a step back, EBITDA decreased by $5.8 million or 9.1% from $63.7 million in Q3 2022 to $57.9 million in Q3 2023, which is primarily due to an increase in G&A expenses which was partially offset by the improved gross profit margin. Adjusting EBITDA for LTIP, ERP and acquisition-related costs, operating EBITDA decreased by $5.8 million or 8.8% from $65.6 million in Q3 2022 to $59.8 million in Q3 2023, and operating EBITDA margin decreased by 270 basis points from 26.1% in Q3 2022 to 23.4% in Q3 2023. Finance-related expenses increased by $1.7 million from $6.3 million in Q3 2022 to $8 million in Q3 2023, mainly due to an increase in interest expense on our lease obligations and our senior secured credit facility, which were both impacted by higher interest rates and higher debt levels on a year-over-year basis. These increases were partially offset by a decrease in accretion expense as a result of lower redemption liabilities related to the Hush acquisition. In Q3 2023, we completed the second closing of our share purchase of Hush Blankets Inc., increasing our share of ownership by 16% to 68%. As a reminder, we will purchase the remaining 32% of shares in two equal increments in ’24 and ’25. Other income and expenses decreased by $1.2 million from an expense position of $0.2 million in Q3 2022 to income of $1 million in Q3 2023. This change was largely tied to interest income related to investments acquired in 2023. Income taxes decreased by $2.2 million from Q3 2022 to Q3 2023. This change was driven by the decrease in net income before taxes of $6.5 million from $40.3 million in Q3 2022 to $33.8 million in Q3 2023, and a decrease in our effective tax rate by 110 basis points from 28.1% in Q3 2022 to 27% in Q3 2023. Net income attributable to the Company decreased by $4.2 million from $28.9 million in Q3 2022 to $24.7 million in Q3 2023. Adjusting for LTIP, ERP and acquisition-related costs, as well as accretion expenses related to the redemption liabilities of Hush and Silk & Snow, adjusted net income attributable to the Company decreased by $5.7 million from $32.5 million in Q3 2023 to $26.8 million in Q3 2023, primarily impacted by the decrease in accretion expense as a result of the low redemption liabilities related to the Hush acquisition. Diluted earnings per share decreased by $0.09 or 11.4% from $0.79 in Q3 2022 to $0.70 in Q3 2023. This change in diluted EPS of $0.09 was mainly impacted by a $0.16 decrease in EPS tied to lower EBITDA, as discussed, as well as a $0.07 decrease in EPS due to higher interest expense on our senior secured facility and leases. These decreases were partially offset by lower accretion expense of $0.04 per share and a decrease in income taxes of $0.06 per share. Moving onto liquidity, as at September 30, 2023, our cash balance was $38.3 million with an additional $121.9 million available to us on our credit facility, and this does not include the $100 million accordion available to us as well through the credit facility.  In regards to capital allocation in Q3, we purchased 165,000 common shares for total consideration of $3.8 million under the NCIB. Subsequent to quarter end, in October the Company repurchased for cancelation an additional 446,000 shares for $9.9 million, or year-to-date 910,000 shares for $21 million in total. On November 9, 2023, the Board approved a quarterly dividend of $0.237 per share, which will be payable on November 30, 2023 to shareholders of record at the close of business on November 24, 2023.  Regarding our CapEx spend, we will be opening a total of seven Sleep Country Dormez-Vous stores in 2023, and as Stewart mentioned earlier, we just opened our first Endy store at the Sherway Mall in Toronto, Ontario and will be opening our first store-within-a-store under the Silk & Snow brand in Ottawa, Ontario, and lastly our new luxury store, The Rest in Yorkdale Mall is slated to open in the coming weeks. We will also be opening our new warehouse in Montreal and relocating our two existing warehouses to this location by the end of this year. Additionally, we will continue to invest in our digital infrastructure and further enhance our digital capabilities and omnichannel experience, and spend approximately 1% of revenue for ongoing maintenance in the store and DC. Thank you, and I’ll now pass the call back over to Stewart for closing remarks. 
Stewart Schaefer: Thank you Craig.  As I said earlier, we are pleased with our third quarter results despite the macroeconomic environment and feel confident that our talented and dedicated teams are laser-focused on executing on our multi-year strategic growth plans while also focusing on our collective synergies and cost efficiencies as we position our growing, more diversified business into a stronger and more profitable business than ever before. As more Canadian consumers feel confident in investing in their health and wellness, we will be there to serve them through the power of sleep. With that, we conclude our remarks and open the call for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. [Operator instructions] Your first question comes from the line of Martin Landry from Stifel. Your line is open.
Martin Landry: Hi, good morning guys.
Stewart Schaefer: Good morning Martin.
Martin Landry: My first question, as I’m trying to understand a little bit where we are in the industry cycle - you know, Stewart, you’ve mentioned in the past that some customers are delaying their purchases, and I’m wondering if it’s a delay or if it’s not rather just a return to normal industry volumes after the pull forward that was created by COVID. Is there any way for us to figure out where industry volumes are right now in units versus 2019 levels, pre-pandemic?
Stewart Schaefer: I don’t have that data for you handy, Martin, but we can probably give you a good indication. To answer your question specifically, when business exploded during those two years of the pandemic, the argument that was made by a lot of analysts was, is this a pull forward. You have been around long enough to know that for a period of time prior to the pandemic, there was a little bit of a lull in the industry which really triggered farther back, from ’08 and ’09’s financial crisis, because this industry has always been around a 6% CAGR, so I do think it’s a little bit of both, and I would have said that for 2022. 2023, there is no question, and I see it all around me from my team of 1,700 associates, from conversations that we have, inflation and mortgages and the cost of interest rates has definitely impacted those who are affected in terms of their personal savings and discretionary spending, and every single time--I’ve been in this business for 29 years, every single time there has been a little bit of a pause, it usually starts with discretionary spending. Read the Canadian Tire script, like everyone is seeing the exact same thing. Compared to some of our peers within the industry, Martin, you put on one of the biggest, best spreads and I’m not going to say the company out loud, but you know what I’m talking about of buying Sleep Country and shorting someone else, if you’re seeing some of the things that I’m seeing within this industry, and I’m hearing numbers down 20%, 30%, when you look at our numbers or even Tempur-Pedic, Sealy, there were some real winners in this space and then there are some losers in this space.  I do think it’s a pause of the consumer, which always comes back, and the beauty of our business, unlike fashion, unlike restaurants, unlike any other type of business, your mattress is just getting older, and when it does come back, whether it’s a pull forward or catching up, we do get that benefit of it, and that’s why we’re strategically investing in our longer term plan. If you rent our stock, you may not be happy on a quarterly basis. If you own our stock, I think you’re going to be very pleased, as we’re still going to finish this year with one of the strongest years that we’ve ever had in our 29 year history, so I’m still pretty bullish but I’m not going to say that for these last few months. I don’t know if that answers your question.
Martin Landry: Yes, it helps out, it helps out. ’22 was maybe a bit of a COVID hangover and ’23 is maybe a pause and delay, so maybe just a follow-up. To your point, if there’s right now a delay in purchases, that suggests that we’re going to see pent-up demand on the other side when the consumer confidence improves. Is this what we’ve seen in previous recessions?
Stewart Schaefer: Always - always, always, always. Every single time that there’s been a recession, Sleep Country has emerged stronger than ever before. We had a recession in 2020, 2021. There was a recession, but it was a subsidized government bailout. This time, there won’t be a subsidized government bailout, and I don’t want to ever do well off of the back of others because we want everybody to do well - it’s healthy for the entire industry. But as we strategically position ourselves with some of the acquisitions, as we expand our channels of distribution, as we acquire some fabulous brands giving consumers a choice in an environment where other retailers may or may not make it, or have some struggles along the way, each and every time in a recession, we’ve come out of it stronger, and that’s why we’re doubling down in terms of our investments in some areas, where you’re seeing deleveraging. This is planned--not planned, that business is a little bit softer than I would like, I would like it to be much more buoyant than it is, but it’s not changing anything in terms of our perspective to position ourselves in the strongest way we can.
Martin Landry: Okay, and last question for me, you’ve made several acquisitions and you have a portfolio of brands right now, and I’m trying to understand what’s their impact on the bottom line. Is there any way for you to quantify, you know, if we look at Casper, Hush, and Silk & Snow, are these business dilutive, or were these business dilutive to your EBITDA margin in Q3, and if so, any chance you can quantify their impact?
Craig De Pratto: Yes, hi Martin. I’d say that the--you know, we continue to remind the market that, as we have earlier, cycle in the growth of a Silk & Snow or a Hush acquisition, it is going to be dilutive to the EBITDA margin, but from a--you know, are they accretive acquisitions to the bottom line? Yes. In terms of quantifying or breaking out or giving additional detail, at this time we don’t break out that segment of the business separately, but I would say that they do have higher marketing spend upfront as they’re continuing to mature. They have a higher percentage of compensation costs compared to the top line, which puts pressure on the G&A stack. But again, as these mature and they move more towards the midterm life, or like where Endy is in its cycle, that’s where you start seeing the leverage start coming back into the right direction. I’m trying to help out without being able to break it out specifically, but those will have pressures around marketing and compensation costs in the near term, but in the medium term you’d see that smooth itself out and then start adding back to the bottom line from the G&A and marketing positions.
Stewart Schaefer: I also want to add, Martin, that you should view, and glad to go out for lunch with you and go even deeper on it, but we think of this as a chessboard and there’s some strategic moves that we’re making because in the eyes of consumers, we believe having multiple brands in different customer segmentations and different merchandising hierarchies is very important to be able to grow our market share and serve the customers in terms of what they need, plus a big part of what we’re doing and positioning, which you’ve seen over the years, is expanding our accessory mix, which is a very important area of our business that is incredibly profitable, which in these times serves as a lead generator.  Our traffic in our stores was really not down in this quarter - I mean, maybe slightly, September saw a little bit slower as the market sold off and people got maybe a little bit nervous, but the customers are coming in, and I call it--and I said it before, it’s the Starbucks effect, they come in, they’re kicking the tires a little bit on the mattresses, but they’re walking out with a pillow or some sheets or a duvet, and we look at that as a lead generator in the exact same way that we looked at it in 2008, 2009 and the financial crisis, when everyone just stopped for a moment and we just wanted them to engage with the brand. All these things are still early investments. Casper, the reason we were able to acquire this unbelievable brand is that they had a misstep, and we capitalized on their misstep and now we are investing in this fabulous brand, and it’s going to take--as I keep saying, it’s going to be a 2024 story as we re-gig what we believe and sprinkle a little bit of the Sleep Country magic into this Casper unbelievable brand.
Martin Landry: Okay, that’s helpful. That’s it for me.
Stewart Schaefer: Thanks Martin.
Operator: Thank you, and your next question comes from the line of Stephen MacLeod from BMO Capital Markets. Please proceed with your question.
Stephen MacLeod: Thank you. Good morning guys. 
Stewart Schaefer: Morning Stephen.
Stephen MacLeod: Morning. Just a couple of follow-up questions there, lots of good color, Stewart. Thank you. I was wondering if you could just talk a little bit more about Casper, just around the repositioning--I don’t know if repositioning is the right way to say it, but just some of the--sort of what you’re doing to the brand this year and how you expect that to be positive for driving incremental growth next year.
Stewart Schaefer: Yes, sure, and repositioning is the perfect word, especially as we look at our business, as I just said to Martin, like a chessboard. We have some really great partners already - Tempur-Pedic, Sealy, Kingsdown, Simmons, Serta, and everyone plays a role within our floors. When we look at our floors, our policy has always been from more economical pricing at the bottom, could be at $199, to our premium bedding within our stores, which will be probably $5,000 or $6,000, and we have to make sure that we offer consumers brands, great brands, quality brands at all different price points. Casper to us is a premium brand, and we are repositioning--before when we were buying the Casper products, we were buying from the U.S. whatever they were making. Our team has redesigned these beds to make them better and more Canadian focused. There isn’t a dramatic difference, but there actually is a difference between what customers like in Canada compared to the United States, and we are positioning them on our floor so that our customers, as well as our sales associates have different price points at different ranges. A big part of this also, which I said earlier when we did this acquisition, was around an expansion of margin while also bringing down the price of Casper beds for Canadian consumers, and we have effectively done that because we were buying these beds 100% from the United States before, and with the dollar at $1.38 right now or $1.39, we have insulated ourselves from that difference within itself, and we’re already seeing expansions of margins in this particular category by 10 points, as well as seeing the cost of these mattresses dropping anywhere from 12 to 21 points.  That’s important within our stores, plus we believe that the Casper brand itself and the customer experience for those who don’t want to shop in a house of brands, will be incredibly well served as we roll out the Casper unique personality and their unique Casper settings as you visit one of our stores already, and that’s a different customer, we believe. It’s a customer who chooses to go to a brand specific, and we’re going to make sure that we continue to roll that out in specific markets, but methodically and thoughtfully, and make sure that we do it right.
Stephen MacLeod: Great, that’s good color. Thank you. Then maybe a bit more granular, can you talk a little bit about how you saw demand or sales trends through the quarter, and then what you’ve seen on a quarter-to-date basis, has the trend changed materially from how you finished the quarter?
Stewart Schaefer: Sure. July was good, August was flat, and September was soft. October was good up until probably the weekend of October 7, and then we saw it get soft again. It’s been very choppy. We’ve seen--and I’ll even break it out for you provincially, we’ve seen GTA the softest, Montreal the second, and BC the third, while the Maritimes and the Prairies were actually positive for the quarter. I mean, we’re not economists here, but we do believe that the more price sensitive, mortgage sensitive markets, housing markets - Montreal, Toronto and Vancouver, are the consumers who are most sensitive or affected--I mean, everyone’s affected by mortgage rates, but the wealth effect or the consumer confidence effect is impacting those markets the most at the moment.
Stephen MacLeod: Great, okay. Thanks Stewart, appreciate the color. 
Stewart Schaefer: My pleasure.
Operator: Your next question comes from the line of John Zamparo from CIBC. Your line is open.
John Zamparo: Thank you, good morning.
Stewart Schaefer: Good morning.
John Zamparo: I wanted to start on the macro picture. That’s great color on the previous answer, but obviously there’s concerns about the Canadian consumer going into ’24, for all the reasons that you cited. If we do see a more difficult environment in ’24 even than the one we’re in now, I wonder, what would the playbook be and what have you learned from previous downturns? Do you focus more on capturing share or you prioritize margins and capital allocation? Do you accelerate M&A, or do instead prefer the buyback? Obviously there’s lots of unknowns, but I wonder if you can provide some insights on how you might react if conditions worsen versus today.
Stewart Schaefer: Yes, and I’m going to tell you, it’s a little bit of everything. First, I’ll start off, this has been a year of investment, and we always have a strong focus around our capital allocation. I mean, this year alone, we increased our dividend, we increased our buyback program, and we did two - two! - strategic acquisitions, it seems a long time ago but Silk & Snow was in January and Casper was in April or May. Managing capital--managing our capital and our strong balance sheet is always top of mind, including we’re ready to roll out our new version, which I’ve been talking about, of 4.0 in terms of our Sleep Country design, which is going to be an expansion of our accessory collection, but we paused on it not because we weren’t ready but as a use of capital allocation in a market that may be a little bit softer, we decided to push it off into Q1, which is where you’re going to see the first two new prototype stores that are going to be opening up. If the market turns softer, maybe we’ll pause it, because our stores still look fantastic and are transacting incredibly well.  That being said, even this year and always for us, a big focus is around always our cost efficiencies and driving the synergies. There is some really exciting things that are happening that have not yet unfolded in terms of the overall expenses of our business as we consolidate the Endy, the Hush, the Silk & Snow, the Casper businesses on what I like to call the back of the store. Logistically, there is going to be savings there, which don’t ask me for specifics now, let us make it happen, but we’re already seeing progress where we will reduce the use of 3PLs as we bring it into our back end, because we have the capacity to do so, which was recognized when we wanted to do these acquisitions.  There is going to be synergies around how we approach the market on marketing and with our fabulous partners, whether it’s Google and Facebook and all the others, and there will be synergies in terms of sourcing, which has already begun. Mike Douglas, who is the Head of Merchandising, is already working closely with those teams, and the buying power of that is already happening. The back office on our HR and our finance teams, all that while maintaining the personalities and the uniqueness of the brands is happening, and we’re going to double down on that in a softer economy, and not because it’s a softer economy, it’s just it’s our focus. On advertising, or market share, because that’s a great question, in the history of this Company, 29 years that I’ve been with this business, there is one time that we paused on our advertising, or what we called our growth strategic initiatives, because that’s a big part of us growing market share, being top of mind, being there all the time so that when you’re ready, when you’re ready, we’re in the consideration funnel, and that was in 2010 and 2011 as everyone was feeling the ’08-’09 financial crisis, and we pulled back in 2010 and the beginning of 2011, and we rode on the halo effect of our powerful brand because everyone knew, why buy a mattress anywhere else?  That worked for nine months, and then it took us six months to regain what we pulled back on, and we said that we would never do that again. That being said, we’re getting better and more efficient in terms of how we allocate our advertising dollars. As we look at some of our traditional spend compared to our digital spend, where we have the lever literally of a live view of whether we want to double down on our--and see if our ROAS is delivering or pulling back, and we divided in two ways - one is performance and one is awareness. You shouldn’t expect a pull back on our advertising. Obviously we’ll watch the deleveraging component and we will be smart about our performance spend, but our awareness spend is our long term plan that positions us stronger than anyone that I’ve seen in this marketplace, and you should see that continuing.
John Zamparo: Okay, that’s good color. Thank you for that. Then I wanted to pivot to population growth, because it’s frequently said that one of the drivers of this industry is robust immigration levels that are on now and expected over the next few years, and I think, Stewart, you’ve said in the past, you don’t think you get your fair share of sales from new Canadians, and Express [indiscernible] more than one way you can address that. I wonder, is that still the case? How might you capture more of those sales, and do you anticipate Express being a bigger driver in ’24?
Stewart Schaefer: Yes, I’m going to answer in two--well first of all, I’m never going to be happy with our share of business. We’re at a 40% market share right now. When we were at 20%, I wasn’t happy; when we were at 25, 30, 35, and when we’re at 60, I’m still not going to be happy and thinking that we’re not getting our fair share. That being said, a lot of the brands that we’re doing and a lot of the positions, when I talk about distribution channels, we view it as we want to be everywhere that customers are, and certain customers will not come to the Sleep Country brand because there’s no question that some people perceive it as mid to high end, even though we do have our unfair share of the lower end because our price bands range from, like I said, $199 to over $5,000.  That being said, what I’ve said before in the past, our belief is when newcomers come to Canada, which is terrific and great for our business long term, they may not know the Christine McGee, why buy a mattress anywhere else, or Sleep Country brand as well as they should, obviously, but they do know the Wal-Marts and they do know the Ikeas and they do know the Costco’s of the world, and so our relationship with Wal-Mart, which has been a good relationship, was important almost like a billboard, to be able to have newcomers, over 2 million people walk through those doors on an annual basis, on a per-store Wal-Mart basis, where we probably don’t even get $2 million in our 300 stores, so that was very important. A lot of our marketing and advertising, especially within the digital side, is trying to target the newcomers, so that is a big initiative for our marketing teams. The other side, though, is the aging demographic of Canadians, where some people and some retailers, depending on their business, get concerned about that. That’s actually a longer term bullish positioning for us. The aging demographic and their disposable income rises within Canadians and has been nicely for a period of time, whether or not their savings are a little bit lower than they were during the pandemic is not the conversation here, but as people age, they spend more and invest more in health and wellness, and we’ve been seeing that, you’ve been seeing that over the last few years as our average unit selling price grows and as our premium bedding collections grow, and that is a huge strategic longer term part of our business.  When I say, don’t rent my stock, buy my stock, you’re going to see, you have seen ups and downs on the markets, recessions come and go, but our positioning is key in terms of the demographic and the future demographic of Canadians.
John Zamparo: Understood, thank you for that. One last one, can you remind us what percent of sales are financed, and has there been any change in performance among those customers versus ones not financing?
Stewart Schaefer: Quebec is the highest and always has been, and that for us is about 25% of our business, which is low if you look at the Brault & Martineaus and Leon’s and the Bricks in those markets - they finance much higher, and we’re actually bringing in a specialist this year around that because we don’t know if that’s good or if that’s bad, because there is a cost to us for financing.  But I guess you’re asking the question in a more price sensitive economy, when people may want to pay over a longer period of time, but that’s--by the way, to answer your question, it is increasing, and for the rest of the country, it’s low, it’s about 11%, 12%. But it is something that we have been focusing on also, and it’s creeped up a little bit too, not as much as you would think because I still think the Canadian consumer is healthy. I mean, unemployment is still low, GDP is still great. Whether we get a soft landing or not, I have no idea, but I think it’s more a choice at the moment that the consumers are just being a little bit more cautious, because we’re all feeling the same thing - the uncertainty. Usually in a recession, when you see a contraction on the GDP, when unemployment is spiking about over 5.5%, 6%, we’ve seen our financing programs pick up aggressively, but we’re not seeing that. 
John Zamparo: Okay, great. That’s all for me. Thank you very much.
Stewart Schaefer: Cool, thank you.
Operator: Your next question comes from the line of Brian Morrison from TD Securities. Your line is open.
Brian Morrison: Hey, good morning Stewart, good morning Craig.
Stewart Schaefer: Morning Brian.
Craig De Pratto: Morning Brian.
Brian Morrison: I just want to go back to the consumer. It’s clearly stretched here, and you’re really seeing a bifurcation towards the high end being positive and lower end product probably feeling more pressure. I guess with the transformation and the acquisitions you’ve made, do you have more exposure to this premium market or are you still evenly spread throughout both segments?
Stewart Schaefer: I think we always lean probably more premium. I mean, I know it’s not exciting or sexy when I talk about the back end of the business, but it is a huge component of why we’re profitable and why others coming to the market are not profitable. It costs us the same amount to deliver a $1,500 mattress as it does a $500 mattress, and take it all down the line on everything else. We are seeing--and you’re right, Brian, we’re seeing the softness part, which is--my commentary, where I wrote, our below $750 price point, like we measure our business by bands, and I’m not going to get into all the bands, but the fact that our above-$750 band, which is everything above $750 was flat for the quarter, and our below-$750 was softer through the quarter, that is definitely an economic sensitive consumer.  We’re feeling it most in our digital brands. Most of our transactions online below $1,000 is a fabulous cost efficient way of driving transactions, even more so than in a physical footprint, and that customer is pulling back right now, which is why you’re seeing some of the deleveraging, because it’s also a higher cost of advertising. The brick and mortar stores have always been more in terms of the premium bedding because if you’re buying a bed over $1,000, you sometimes want to kick the tires, and the more expensive you go, for sure you want to try that bed.  That being said, over the last few years, to answer your question specifically, we have been positioning ourselves so that we make sure that we offer all price points, but we’re doing it in different types of ways. If you walked into our stores five years ago, you would have maybe seen two or three more SKUs on the floor below $1,000. We measure that square footage and the productivity of that square footage very carefully, and it’s more profitable for us to put a little bit more of a premium bed, and I’m not talking $2,000, $3,000, but creeping over that $1,000 price point within our stores, because we know the customer wants that way, and one of the reasons Endy is such a powerful brand and Silk & Snow is doing amazing is because of their price points and the efficiency in delivering it through a digital transaction. Casper is exactly where I think you’re going also, because we do believe it’s a category of premium bedding, which is why we wanted it. It fits so well in terms of our long term strategic plan and our 29-year history of premium bedding, and the fact that we actually got it, we still pinch ourselves. Now you’re going to judge us on what we do with it, but we’re quite bullish on what we’re going to do with it.
Brian Morrison: Well, I guess I do want to follow-up there, Stewart. In terms of the Casper transformation, clearly you’re making progress here. I think you’ve said previously that it’s your worst margin performer. When can we expect to see this get to industry average? When can we start to see the financial benefits? Will they be immediately--you know should we see them early 2024 to get to your industry--pardon me, your Company average, or will it take longer than that?
Stewart Schaefer: Back half of 2024, I’m very confident to say. We’re already starting to--like, we’re just rolling out. We had to do--just to be clear on this acquisition, because I love giving you guys as much knowledge as I can to build out your models, but we bought this company, we were tied to the U.S. The first thing that we decided after 60 days was to move away from their platform, which was on Salesforce, and bring in the Shopify and re-platform the entire site, change the POS’ in the stores to Shopify also, and that--I think you all know, once you re-platform, it has an effect in terms of your traffic, which we knew and we were planning for also. The leaders of Endy and Silk & Snow, Allie and Albert, were the ones that were driving that for us, and we did that in 10 weeks, which was record-breaking for us in terms of how fast we did that. That was step one. Step two is looking at the logistics of it, because Casper used 3PL, and we are now shifting that 3PL component into our DCs. Step three, which was happening while these two were actually happening too, was rebuilding Casper products. Here even in Canada--I mean, we’ll do multi-sourcing, but because we knew we could, just in the difference in terms of the margin, and then they started rolling out. They actually started rolling out about 30 days ago. I will tell you that we were--and I don’t break down margins normally, gross margins, top line, but we’ve seen already as we’re rolling out some of this product at a lower price to the consumer, which is making it more attainable, margin expansion north of 10 points, and that’s big. So it’s now entering--it’s gone from the lowest to entering the highest, while also serving our customers in a better way at a lower price point. You’re going to see more of that happen in the first half of the year, because we’ve done half of the line-up, which is still rolling out, and the other half will roll out in the first half of 2024, so start--the back half of 2024, you’ll see that throughout the country in our stores, you’ll see it in the Casper stores, you’ll see it on the Casper sites and our website.
Brian Morrison: That’s great. Craig, last question, your NCIB, you were kind of modest or temperate with it throughout the year and then it really accelerated in October. I’m wondering if you’re going to keep that going and if you plan on hitting $50 million by your March, call it year end for the NCIB.
Craig De Pratto: Yes, so as we discussed on previous calls, our first half of the year was very acquisition heavy, and so the capital that typically we might maybe would have deployed more towards the NCIB at that point in time, was deployed towards the acquisitions. On the back half of this year, you could see in October, where the price is at, you can expect that we’re going to be active in the market going forward as well.  On the $50 million by March, I believe that based off the number of trading days, we should be able to get fairly close to that mark, and--but yes, we’re in a position where we think that the signal that we put out in October in terms of being more aggressive on the buyback, we would intend obviously to continue that.
Brian Morrison: All right, certainly makes sense. Thank you both.
Stewart Schaefer: Thank you.
Operator: Your next question comes from the line of Sabahat Khan from RBC Capital Markets. Your line is open.
Arthur Nagorny : Hi, good morning. This is Arthur Nagorny on for Saba here. My first question, I guess, could you walk us through the thought process on adding store count across your various banners, I guess given the softening operating backdrop? As a follow-up, I guess, could it make sense to also convert some of these--or some of your potentially less productive stores on the legacy Sleep Country side to some of these new banners over time as well?
Stewart Schaefer: Let me answer your latter question first. First of all, there’s not too many of our stores that are not productive, which is, I guess, a positive. If they weren’t productive for a Sleep Country banner, then I would never take one of our new exciting brands and set them up for failure, and I’d rather just wait until that lease expires and reposition it.  To answer your first question, a softer market for us, and nobody wants a recession, nobody wants a softer market, but in some regards, we get--I know this is going to sound silly, but we get excited about the softer markets because it does create greater opportunity because other retailers, and usually within the fashion, struggle, and some of those in fashion have fabulous triple-A spots. We already have a very clear road map in terms of locations across the country of where and how we want to expand. We are patiently waiting for certain leases from other retailers to come due, and we anticipate if there is a recession, that there will probably be more opportunity, but we will only - only - take triple-A locations.  We don’t need to rush to do it, but nothing has slowed down; in fact, if more availability comes onto the market, we will quickly open up the stores. Our stores are very accretive, become very profitable very quickly. We have seen that through the pandemic, we’ve seen that through past recessions, but we must have the right locations. 
Arthur Nagorny: Okay, and then I guess you’re talking about triple-A locations, so just wondering how you’re thinking about the rent expense for some of these locations, I guess particularly in the malls. Is there an angle here as well, where the storefronts also serve as potentially marketing, getting in front of the customers as well?
Stewart Schaefer: I just said that yesterday to our Board, so interesting that you even made that comment. I’ll just talk about our existing brick and mortars. We have 300 billboards all around the country that create a high awareness, even if you’re not in the consideration funnel, and we do view it that way. We view our relationship with Wal-Mart Express, our Sleep Country Express as a billboard too. Obviously in all these places, our job is to transact and drive revenue and profitability, but it is an ongoing component of our advertising. We’re not going to open up stores as advertising and give an excuse that if a non-performing store is around, that well, it’s an advertising thing. Every store for us has to perform, but it definitely is an added benefit because most people aren’t buying a mattress every three years - I wish they were, but they’re buying it every eight to 12 years, and the beauty of this Company is we’ve always thought long term, so in every single thing that we do, every single thing that we do, we think about the customer first and then how we are engaging with them. That visibility component is a big part. Malls have never been a big part of it. Malls do have higher rent, to your question, but also unbelievable exposure, and we have a great relationship with all our landlords, and I think our landlords have been fair with us and we’ve been fair with them. The fact that we have 300 stores across this country allows landlords to help us on properties of theirs that may have reduced traffic, and we are considerate to them on some of their properties that are doing more traffic. It’s always been a very equal partnership relationship that we’ve cherished with our landlords. 
Arthur Nagorny: Those are all my questions. Thank you.
Stewart Schaefer: Thank you.
Operator: Thank you, and there are no further questions at this time. I would like to turn it back to Stewart Schaefer for closing remarks.
Stewart Schaefer: Well, thank you everyone, and we appreciate your time and your patience and your focus on our Company. I wish you all well. Let’s all stay safe, let’s all stay well, and let’s all sleep well. We’ll see you at the next quarter. Have a good day.
Operator: Thank you, presenters. Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.